Operator: Good afternoon, and welcome to Castlight Health Third Quarter 2021 Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to Sophia Golden. Please go ahead.
Sophia Golden: Leading today’s call are Maeve O’Meara, Chief Executive Officer, and Will Bondurant, Chief Financial Officer. Maeve and Will will offer prepared remarks and then they will take questions. The Castlight press release, webcast link and other related materials are available on the Investor Relations section of Castlight’s website. This call contains forward-looking statements regarding trends, strategies, and anticipated performance of the Castlight business. These statements are made as of November 2, 2021, reflect management’s views and expectations at this time, and are subject to various risks, uncertainties, and assumptions Please refer to today’s press release and the risk factors included in the company’s filings with the Securities and Exchange Commission for a discussion of important factors that may cause actual events or results to differ materially from those contained in Castlight’s forward-looking statements. Castlight disclaims any obligation to update or revise any forward-looking statements, except as required by law. Today’s call and presentation also include certain non-GAAP financial metrics. These non-GAAP financial measures should be considered in addition to, not as a substitute for or in isolation from, measures prepared in accordance with GAAP. Disclosures regarding non-GAAP metrics and reconciliation to comparable GAAP metrics, on a historical basis, can be found under the heading reconciliation of GAAP to non-GAAP financial measures of the earnings release that was filed with the SEC before the call and in this quarter’s presentation slides available on the Investor Relations section of Castlight’s website. With that, I’ll turn the call over to Maeve O’Meara, CEO of Castlight Health. Maeve?
Maeve O'Meara: Thank you all for joining us to review our third quarter 2021 results. Today, I’ll start by sharing an update on the continued progress in our business, including our meaningful traction in direct-to-employer sales and strong pipeline of health plan opportunities, and then provide further perspective on the longer-term growth initiatives I discussed in August. I’ll start with a brief review of the key metrics. We delivered another quarterly increase in annualized recurring revenue or ARR, to $130.2 million, up $2 million sequentially from Q2. The increase was driven primarily by our strong execution on direct-to-employer sales, netted against the churn we forecast and realized in the quarter. Direct-to-employer quarterly bookings were the highest in over three years. I’ll speak more about our sales pipeline and forward view for employers and health plans in a moment. Our total revenue for the third quarter of $34.8 million was at the top end of our guidance range and was ahead of our expectations. Our non-GAAP gross margin was again 69%, and Castlight achieved a sixth straight quarter of non-GAAP profitability and positive cash flow, ending the quarter with $66 million in cash and no outstanding debt. I will begin with employer sales. As I mentioned in my opening comments, our Q3 bookings were the highest we have achieved since Q4 of 2017. The bookings build on the active pipeline generation and RFP season I mentioned in our Q2 earnings call as well as improved sales execution. We are very pleased to welcome our new customers, such as Elbit Systems of North America and Baptist Health, among others, to the Castlight family. Nearly three quarters of our Q3 bookings were from new customers, including multiple competitive navigation RFPs where our combination of high tech and high touch were a critical factor in winning the business. Importantly, approximately two-thirds of our new customers added our Care Guides offering, validating our decision to add expert, human support and solidifying our navigation market position. We also saw benefit from prior relationships, such as a large university that was forced to terminate its contract last year due to COVID-19 cost reductions, even while seeing meaningful value with Castlight, who resigned in the quarter and also will now expand from Care Guidance to Castlight Complete as of January 01, 2022. Similarly, one of our new wins followed the acquisition of an existing wellbeing customer; the acquiring organization and its brokers learned about Castlight through the acquisition process, and ultimately decided to expand the relationship to include Castlight Complete, as well as Care Guides, across the full organization. We believe that Castlight’s market-leading technology and combination of high-tech, and high-touch solutions are squarely meeting the needs of the navigation market. In addition, we are also one of the few, if not the only, providers of comprehensive Transparency in Coverage solutions. This is becoming a priority not only for health plans, but also large, self-insured employers with a compliance focus and/or government contracts, and the strength of our experience in transparency drove one of our most meaningful customer wins in the quarter. We have a robust employer pipeline entering the last months of the year, and we look forward to updating you on our progress. 70 From a customer retention perspective, I shared last quarter that we were on-track to deliver a meaningful improvement in retention compared to last year. I shared that churn was weighted to the second half of the year, given the majority of renewals occurring in that time period. As expected, we did experience ARR reductions from a small number of clients that we had identified as being at risk of attrition. While churn ticked up sequentially as we forecasted, we are pleased that churn was less than half the level that we experienced in Q3 of 2020. The attrition in the quarter was more than offset by our new bookings, and we are pleased that our team is executing against meaningfully lower churn in 2021 versus prior years. Turning to our Health Plan business, I am pleased to share that our Health Plan pipeline has increased since we last spoke. We experienced no losses during the quarter and all the pipeline opportunities I mentioned in August remain active, although certain decisions that we’d hoped would occur in the late Q3 timeframe have pushed to the fourth quarter. Right now, we have a half-dozen meaningful health plan opportunities in mid-stage or late stage and we remain optimistic in our position across the full set. The opportunities encompass full digital navigation, navigation plus Care Guides, as well as transparency only. While we will continue to refine and improve how we forecast the timing of our large health plan prospect decision-making, we are excited to have such a robust health plan sales pipeline for this quarter and looking into 2022. The traction we are seeing in the market is evidence that health plans view us as critical, trusted partners in delivering value to their customers. I’ll conclude my remarks today with additional commentary on the longer-term growth strategy I discussed on our last call. As I mentioned last quarter, we believe our data and technology capabilities can support the demand for healthcare data infrastructure that provides information on the consumer’s health and enables steerage to higher quality, lower cost providers, both bricks and mortar and virtual. As we laid out two years ago, we have seen demand for this capability from new buyer categories, like telehealth providers offering virtual primary care, advanced primary care providers, retail pharmacies, and more. We are pleased to be engaged in a rigorous evaluation process from one of the leaders in those categories to bolster their offering, and we have several additional conversations underway. While I want to be clear that any contribution to 2022 revenue will be nominal from these relationships, we believe there is meaningful TAM and revenue potential as we expand our intelligence-as-a-service capabilities. Finally, we believe our discussions to date demonstrate the power, scale, and uniqueness of our core data and technology, as well as experience driving healthcare outcomes. To close, I’m happy to report our meaningful progress in 2021 and I am excited for the fourth quarter of the year. Our team is executing on our core goal of delivering ARR growth, we see our next generation navigation solution resonating in the marketplace, and we continue to demonstrate operating discipline as we grow the business. We are in a large and growing market, and the momentum across the business is real and exciting. I want to thank the entire Castlight team for their excellent work not only this quarter, but across all of 2021. It’s gratifying to see your work producing outcomes for our customers, users, and shareholders. With that I will now turn the call over to Will for a review of third quarter financials and our outlook for the remainder of the year. Will?
Will Bondurant: Thanks, Maeve. I’ll start by reviewing our third quarter results and then I’ll discuss our outlook for the fourth quarter and the full year. Beginning with annualized recurring revenue or ARR, our ARR of $130.2 million increased sequentially for the third quarter in a row. The increase was driven by the employer market, including meaningful new client additions as well as upsells to current clients. As we mentioned previously, our 2021 renewals were weighted toward the second half of the year, and as Maeve shared, we had strong renewal activity in the quarter. The largest customer that terminated, with ARR of more than $2 million, was signed in December 2019, but never launched because of COVID-19’s impacts on their implementation. This is the only customer whose implementation was delayed or impacted by COVID-19. Total revenue in the third quarter of $34.8 million decreased 2% sequentially and decreased 1% compared to a year ago and was at the upper end of our previously shared outlook for the quarter. Subscription revenue of $31.6 million represented 91% of our total revenue and professional service revenue accounted for the remainder. Our Professional Services revenue again principally reflected our Boston Children’s Hospital, CDC vaccines.gov support, and the expected sequential decline was in line with the expectations we laid out earlier in the year and our work to support BCH and the CDC. Turning to non-GAAP measures, gross margins of 69% were essentially flat sequentially and compared to a year ago. Subscription gross margins were over 77% for the sixth straight quarter. We remain pleased with our industry leading, attractive gross margin profile, which helps demonstrate the scale of our technology and the competitive advantage that our R&D investments have generated. Non-GAAP operating expense as a percentage of total revenue of 62% was down 1% sequentially and up 4% year-over-year as we continued to see increased business expenses from the COVID-impacted 2020 baseline. Our non-GAAP operating income of $2.5 million delivered our sixth consecutive positive quarter of non-GAAP profit. Similarly, we reported positive cash flow from operations of $5.8 million and our cash balance was $65.8 million at the end of the quarter. In the quarter, we made the final payments on our term loan and the company has no outstanding debt as of 9/30. After several years of intentional focus on operating with fiscal discipline, we feel well positioned to invest in the areas of our business that are driving growth as we plan for 2022. Turning now to our outlook, we are updating the 2021 full year outlook we originally provided in our Q1 call, and now expect, revenue of $135 million to $140 million, a non-GAAP operating loss of $4 million to operating income of $1 million. Non-GAAP loss per share of $0.03 to income of $0.01 per share, now based on approximately 160 million shares outstanding, gross margins in the mid-to-high 60%s compared to our previous expectation of mid-60s. Cash flow from operations between $10 million and $15 million of cash generated compared to our previous expectation of between $2 million and $7 million of cash generated from operations. And a cash balance at year end of around $60 million, compared to our previous expectation of at least $50 million. For the fourth quarter, we expect revenue in the range of $33 million to $35 million. As you can hear in today’s call, we are pleased at how well Castlight’s solutions are resonating with large employers, health plans, and future potential customers of our data and technology. Our strength in transparency means we are one of the only firms that can support employers in compliance with coming regulation, our successful launch of Care Guides positions us to meet the customer demand for navigation, and we are now focused on finishing strong in 2021, the 1/1 launch period and planning for 2022. As always, I’d like to thank the Castlight team and specifically Sophia Golden, who read today’s safe harbor, and was the winner of the Making Things Happen Culture Award in Q3 as a key member of the team delivering our vaccine navigation solutions. With that, we’d be pleased to take questions. Operator?
Operator: [Operator Instructions] Your first question will come from the line of Richard Close from Canaccord. Please proceed with your question.
Richard Close: Great. Thanks, Maven. Well, first congratulations on the success and building momentum. Hey, well, I was wondering if you could just go over on the guidance, you look year-to-date, you've generated about, I guess it was $5.6 million in non-GAAP operating income through September. But you've kept the guidance, the annual guide at a $4 million loss to positive one. So that implies a pretty big range for the fourth quarter. Can you just talk a little bit about that?
Will Bondurant: Absolutely, Richard and thanks for the question. So you're right to mention that we've done a really nice job on delivering operating profit – non-GAAP operating profit for the first three quarters of the year. As we look at the fourth quarter, there's a couple of dynamics in play. The first is that we do see expenses tick up and advance of the 1/1 launch season. That's especially true when we have meaningful new business activity. And obviously, you heard me talk about that on the employer side. We're also launching Blue Cross Blue Shield of Alabama in this quarter for 1/1. And then we're hiring in advance of some investments in the growth areas for 2022. And so there is an investment set planned for the fourth quarter. Along with that, that essentially seasonal expense load between both of those pieces. We chose to maintain that operating income guidance at the range of kind of a loss of $4 million, income of $1 million.
Richard Close: Okay. All right. That's helpful. Thanks. Maybe on the health plans, I think it was my understanding that late stage means that Castlight's been selected, but contract hasn't necessarily been finalized. Correct me if I'm wrong there, but how are you thinking about the – these deals that are in the pipeline? Is there anything specific that may be hanging them up in terms of crossing the finish line or?
Maeve O'Meara: Yes. No, thanks for the question, Richard, and you are remembering correctly in terms of how we characterize the pipeline. And so what I'd say is that we were really excited to see the pipeline grow and continue to expand. And certainly, we had hoped that some of those decisions or excuse me, with some of those opportunities would actually close in Q3. We do expect those decisions and contracting in Q4 and are also frankly focused on improving our forecasting ability, but on the whole, I think the key takeaway should be that we feel really good about the health plan pipeline and our position in the market and are excited to pursue the opportunities that I mentioned in the prepared remarks.
Richard Close: Okay. I guess just to follow-up on that. So let's say you bring, one or two whatever the number is across the finish line, just remind us like, in terms of what the timeline would be for you get selected, you win the business side in the contract and then maybe when it goes into ARR and then begins to convert to revenue.
Maeve O'Meara: Sure, absolutely. I can just comment first and Will, can add anything I've missed. But I think an important point with health plans is that we have seen implementations can happen very quickly as you saw with Cigna that was a four month implementation. And then you can also with other health plans expect a 12 month implementation, often coinciding with a 1/1 or 7/1 launch. Well, do you want to speak to the recognition of revenue?
Will Bondurant: Absolutely, Richard. So to Maeve’s point, if you think about essentially when we are awarded the business, we enter a contracting phase that typically is anywhere from six to 12 weeks as we work through the contracts. At the point, the contract is signed. We would essentially put the guaranteed subscription revenue into ARR. So we would disclose that as part of – for example, our 12/31 ARR, if we sign a health plan this quarter, and then the revenue contribution would come when that customer launches. Of the call it half dozen or so, opportunities Maeve mentioned small number would launch in the middle part of 2022. Most of them would be oriented towards the fourth quarter of 2022 from a revenue contribution perspective, but you would know the ARR in advanced.
Richard Close: Okay. That's great. I'll jump back in the queue, give some others a chance.
Operator: [Operator Instructions] Your next question will come from the line of Charles Rhyee from Cowen. Please proceed with your question.
Charles Rhyee: Yeah. Thanks for taking the question. Question on the guidance here, I appreciate, Will, the comments about the costs here expected in the fourth quarter. I think last quarter though, you guys talked about an expected step up in sales and marketing. As you know, salespeople will kind of start to assume travel. Obviously, we didn't really see that here in the quarter, is that something we should expect a bigger step up in the fourth quarter? When you are looking at EBIT assumptions for the full year or privileged fourth quarter is really more an impact maybe to gross margin?
Will Bondurant: No, it's a good question, Charles. And I have to say, this is a place where COVID duped me. We expected to be doing more travel in the third quarter and more kind of field sales and marketing expense than we did. Partly, I think because the Delta variant. In the fourth quarter, we do expect to see that tick up. We've been at in-person conferences this month, or I should say in October last month already part of the fourth quarter. And so do expect to see SG&A tick up in the fourth quarter even though to your point, the gross margin specifically, the, the cost of PS, the cost of delivering the implementations line is where we'd also see kind of a step up quarter-over-quarter.
Charles Rhyee: Okay. That's helpful. And then, Maeve, obviously, a lot of success here year-to-date and it's nice to hear about the increase in the pipeline with health plans. Maybe what has changed or maybe not changed perhaps, but what is – what do you think has been the key here to this kind of acceleration and interest from health plans? Is it that the market has changed dramatically given perhaps COVID? Or is it that they view Castlight as a more robust offering now with the addition of Care Guides? Maybe some thoughts there?
Maeve O'Meara: Sure. No, thanks, Charles, I appreciate the question. Speaking specifically about health plans, as you know, we really set this as a focus area starting in really when I stepped into the CEO role in late 2019. So I think part of what you're seeing is actually just the results of spending the 18 plus months actually going out, meeting health plans and really working that pipeline. I think that the product market fit has been strong really from the start. But I think we're now starting to really see that come through in the opportunity set. So part of that I think is just time. And then the second piece that I think is benefiting us is that very often, what health funds are looking for is to support their customers. And the increase in customer interest in navigation solutions has shown up as health plans, wanting to provide those solutions to their customers, so that's been the kind of second tailwind which is, manifesting itself in a large robust health plan pipeline.
Charles Rhyee: Okay. That's helpful. And then maybe following back up to Richard's question, it's – at this point, do you still feel confident in closing something by the end – the second other health plan here by end of the year end? Or is this something that you think at this point probably more likely maybe slips into early next year?
Maeve O'Meara: Well, what we do expect is that decisions will occur in Q4 and certainly, we are hard at work, in cases where decisions have been made. So on the whole, what I feel good about is the pipeline and our position. And so certainly, are hoping to have positive news to report the next time we talk.
Charles Rhyee: Okay. That's great. And maybe just one more follow-up, Will, on when we think about the fourth quarter, in terms of the EBIT guidance implied for the fourth quarter here, would you say more of that is coming in sort of a decrease in gross margin sequentially? Or an uptick in sales and marketing, because I'm assuming maybe R&D and G&A are relatively flat?
Will Bondurant: Yes, Charles, I think the way to think of it is we do have a step up in the cost of delivering the essentially the product in the fourth quarter, implementation cycle, and then what we call our pyro or a rollover cycle when our teams are essentially reconfiguring and resetting up customers for the following year. So you will see a step down in that gross profit or gross margin quarter-over-quarter that will drive, I would call most of the most of the, the kind of the Delta between Q3 and Q4. And then, like I said, as well, you are going to see a step up actually in each of the OpEx line, sales and marketing, R&D and G&A. In sales and marketing and R&D, it's partly as we are investing ahead of the opportunities Maeve talked about from a growth perspective, now health plan and in that data and technology opportunity.
Charles Rhyee: Great. Appreciate it. Thanks guys.
Operator: We do have a follow-up question in queue from the line of Richard Close from Canaccord. Please proceed.
Richard Close: Yes, thanks. I appreciate the comments on the churn and compared to last year and whatnot, the progress has been made there. Can you just provide us an update in terms of where you are on the renewals for this year? I know it was second half weighted, but did most of that occur in the third quarter or how much is remaining in 4Q?
Maeve O'Meara: Sure. Thanks, Richard. And I'll just start out by saying that I'm really proud of the fact that churn in 2021 will be meaningfully better than what we saw in both 2020 and 2019. So as you're pointing out, we shared last quarter that we do have renewables slated towards the second half of the year. And so at this point, we have about a handful plus to execute in Q4. We have line of sight to the majority of those renewals, and we do expect the majority of them to be customers in 2022. That set, of course we do expect some ARR degradation and we are forecasting churn. But on the whole we feel like we've really turned a corner in terms of the health of our book of business, which is just a credit to the entire organization.
Richard Close: Okay. And then with respect to the current selling season was most of that – most of stuff for January, first starts you've had already book? Or is there an opportunity – is the selling season continuing here in fourth quarter, where it could be a contributor to 2022?
Maeve O'Meara: Yes. Thanks, Richard. Just to spend a moment on employer sales, as we shared back in Q2, the team did a great job building pipeline in the first half of the year, they were able to do that because of the strong product market fit of high-tech, high-touch navigation. And then this past quarter, what you saw was the sales team, doing a great job executing against that pipeline, which is a credit both to the sales team and the strong leadership in that organization. To your point about the cycle of 1/1, so certainly, Q3 was a big quarter for us from an employer sales perspective, but we do have a healthy pipeline entering Q4. We typically do see a set of employers who certainly launch off 1/1. So we are – we'll continue to be focused on those opportunities over the next two months.
Richard Close: Okay. And my final question is, on transparency. You guys called this out a couple of times, you mentioned government regulations. I think one of the health plan is a transparency opportunity, can you just go over, obviously this is cord, Castlight, the genesis of the company. Can you just go over the dynamics of the current environment as it relates to transparency?
Maeve O'Meara: Sure. Well, as you mentioned, Richard, the company has been a pioneer in the healthcare transparency space and we've been actively tracking both hospital and health plan related transparency regulations. We are very well aligned with the transparency rule and well positioned to support both our existing customers and future customers as they are focused on compliance with what is a very complex set of rules. In terms of what we're learning kind of as time goes by, which you probably heard in my remarks, we had initially seen the interest and focus on compliance coming from health plans. It's been a big opportunity for us to have those conversations and expand those conversations. But more recently over the last quarter, we did see more interest from employers particularly those who have large, meaningful government contracts. We also see it from employers who are slice, so have multiple carriers who are looking to ensure that they're compliant across a multitude of plans. But Richard, I mean, the kind of high level here is that people are taking these regulations seriously. And we believe that Castlight is certainly one of the only solutions that's really able to ensure compliance with those regulations.
Richard Close: Okay. Thank you.
Operator: Your next question comes from the line of Andrew Weinberger, who is a Private Investor. Please proceed with your question.
Andrew Weinberger: Yes. Hi, just to follow-up on the last question with regard to transparency, when you look at sort of your RFPs, which started as transparency, what percentage of those have sort of grown from transparency only to maybe a Castlight complete or even sort of an addition of Care Guides on top of that? I guess what I'm trying to understand as the transparency regulations become more in focus, how much more RFP activity do you expect Castlight to be invited to? And are you sort of stuck just selling transparency? Or is there an opportunity once you're in front of customers to sort of showcase all of the solutions that Castlight has?
Will Bondurant: Absolutely, I'll take that one. As you think about the transparency and coverage kind of regulations, they lead to very specific conversations as beginning. As an example, one of the customers that, the new customers we added in Q3 was a customer that issued an RFP, actually the very end of Q2. And we signed in contracted them in a period of really a matter of weeks about eight weeks because they were specifically focused on transparency and coverage. In that conversation though, we expanded the dialogue from pure compliance to the value that a comprehensive navigation solution delivers both in terms of healthcare and then broadly in benefit. That was one of our differentiators in addition to being able to deliver transparency in that comprehensive way Maeve mentioned. And it was a really clear proof point of essentially the question you're asking. The kind of the broader RFP question though. The majority of the RFP activity we are receiving is still for our full – digital navigation solution or navigation plus Care Guides really around two-thirds of our RFP activity is that, and you saw that actually in the business, we closed about two-thirds of the net new logos we signed had Care Guides attached to them and were really navigation customers. Thanks for the question.
Operator: [Operator Instructions] At this time, there are no further questions in queue.
Maeve O'Meara: Thank you for joining us today. We look forward to speaking with many of you at the 30th Annual Credit Suisse Healthcare Conference next week.
Operator: This concludes the Castlight Health third quarter 2021 conference call. Thank you for participating. You may now disconnect.